Operator:
Jamie Caulfield:
Indra Nooyi:
Hugh Johnston:
Operator: 
John Faucher - JPMorgan:
Indra Nooyi:
Brian Cornell:
Operator:
Bryan Spillane - Bank of America Merrill Lynch:
Indra Nooyi:
Zein Abdalla:
Indra Nooyi:
Operator:
Ali Dibadj - Sanford C. Bernstein:
Hugh Johnston:
Indra Nooyi:
Operator:
Dara Mohsenian – Morgan Stanley:
Hugh Johnston:
Dara Mohsenian – Morgan Stanley:
Indra Nooyi:
Operator:
Bill Schmitz – Deutsche Bank:
Indra Nooyi:
Operator:
Judy Hong - Goldman Sachs:
Hugh Johnston:
Operator:
Caroline Levy - CLSA:
Indra Nooyi:
Operator:
Jonathan Feeney - Janney Montgomery Scott:
Indra Nooyi:
Operator:
Ann Gurkin – Davenport:
Indra Nooyi:
Operator:
Indra Nooyi: